Operator: Good day, everyone and welcome to today’s Helmerich & Payne Fiscal Fourth Quarter Earnings Conference. At this time, all participants are in a listen-only mode. [Operator Instructions] Please note this call maybe recorded. It is now my pleasure to turn today’s program over to Mark Smith.
Mark Smith: Thank you, Christy. Again, our sincere apologies to all those on the telephone, we have had technical difficulties here with our webcast portion of this conference call, although the telephonic portion is working just fine. So again, we do apologize. We appreciate your patience and your interest in H&P. In order to cure the problem, we will be posting the audio recording from this conference call within 2 hours from the conclusion. We will be restarting from the top. We apologize again. We will conduct a full 1-hour conference call. We hope you are available to stick with us and join us as we give you our fourth quarter fiscal ‘20 results and look ahead to fiscal 2021. I would like to turn the call over now to our Investor Relations Director, Mr. David Wilson. Dave?
David Wilson: Alright. Thank, Mark. And I would like to re-welcome everybody to Helmerich & Payne’s conference call for the fourth quarter and fiscal year ended 2020. With us today are John Lindsay, President and CEO; Mark Smith, Senior Vice President and CFO. Both John and Mark will be sharing some prepared comments with us, after which we will open the call for questions. Before we begin our prepared remarks, I will remind everyone that this call will include forward-looking statements as defined under the securities laws. Such statements are based upon current information and management’s expectations as of this date and are not guarantees of future performance. Forward-looking statements involve certain risks, uncertainties and assumptions that are difficult to predict. As such, our outcomes and results could differ materially. You can learn more about these risks in our annual report on Form 10-K, our quarterly reports on Form 10-Q and our other SEC filings. You should place no undue reliance on forward-looking statements and we undertake no obligation to publicly update these forward-looking statements. We will also be making reference to certain non-GAAP financial measures such as segment operating income and operating statistics. You will find the GAAP reconciliation comments and calculations in yesterday’s press release. With that said, I will turn the call over to John Lindsay.
John Lindsay: Thank you, Dave and good morning everyone. This is yet another example that this fourth fiscal quarter is unprecedented in many ways and really challenging during the company’s 100-year history. The destruction of oil demand induced by COVID is well documented. And in terms of drilling activity, our rig count hit bottom in August. Despite the challenging quarter, our strong financial position has enabled us to remain focused on our long-term strategies. Our people are developing new commercial models and innovative drilling and digital technologies that we believe will help transform the customer experience and shape the future of this business. These efforts have progressed despite this difficult environment and will serve as the foundation from which the company will build as the market continues to recover. Our customer-centric approach is one that prioritizes providing customized solutions by employing a combination of people, processes, rigs and automation technology to deliver more value and lower risk for our customers. This approach is distinctive in the industry, it resonates well across our customer base and with further developments on the horizon will be a major driver of growth as activity levels improve. Excluding our two idle but contracted rigs, our current U.S. FlexRig activity has improved to 80 rigs and we expect our active rig count will exit the first quarter at approximately 90 rigs. This is almost double the number of rigs turning to the right compared to the lowest level reached in August. The Permian has led the industry rig count recovery and H&P has earned approximately two-thirds of the incremental work in that basin. As we anticipated, our rig count growth has exceeded that of our peers coming off of the bottom, allowing us to recoup 4 to 5 points of market share. We believe that the quality of our field leadership, our rig crews, our FlexRig fleet and our digital solutions will continue to advance this trend. Concurrent with this increase in near-term activity, we are also experiencing increased customer utilization of our performance-based contracts in our rig automation software, AutoSlide. We expect adoption of both to increase and become more prevalent in the industry. H&P’s touch-of-a-button autonomous drilling approach is designed to optimize drilling in the vertical, the curve and the lateral. These automated solutions include real-time automated geosteering, rotary and sliding execution and improved wellbore quality and placement. The uniqueness of our automated solutions is backed by a patented economic-driven approach where the software not only makes optimal cost benefit decisions but also directs the rig to execute those decisions without the need of human intervention. This improves reliability, enhances value and reduces risk for our customers. Let me give an example of the H&P value proposition autonomous directional drilling provides. When customers use AutoSlide on our FlexRig, directional drilling personnel are no longer required at the rig site. This is possible because the directional drilling decisions are being calculated using an algorithm in our patented rig guidance system, which can accurately process through thousands of variables in seconds rather than relying on the manual calculations of the traditional directional driller. The software-enabled FlexRig allows the curve to be landed more accurately and reliably and the lateral to be placed more precisely in the shale, which results in lower drilling costs, improved production, reduced long-term maintenance costs for our customers and lower environmental impact. Commercial models that reward performance coupled with rig automation software that enhances value are being adopted across the spectrum of the industry. Mark will give additional details on performance contracts, but we have been successful in expanding our customer base with a wide range of E&Ps from super majors to small private companies. Today, H&P owns more than a third of the estimated 635 super-spec rigs in the US market. With many rig count forecasts ranging from 450 to 550 rigs over the next couple of years, we see significant further super-spec FlexRig market share growth and opportunities for improved pricing. H&P continues to invest in new and diversified technologies for the long-term sustainability of the company. Recently, we have made investments in and are supporting the efforts of a few companies driving the evolution of the geothermal industry. The core of this evolution is a transition from geographically concentrated and naturally occurring hydrothermal resources to enhance geothermal systems and closed loop systems. The technologies and techniques these companies are exploring are expected to improve project economics, leading to the ultimate scalability of geothermal as a source of energy. The growth potential of unconventional geothermal energy applications represents a new opportunity for H&P to increase the utilization of its installed FlexRig asset base along with our digital technology solutions. Our leadership position as a drilling solutions provider is a natural fit for the evolving geothermal market. This is driven in part from our technology offerings that have already been utilized by some geothermal companies in Europe and are a proven success in unconventional oil and gas drilling in the US and internationally. Modern geothermal drilling applications require the benefits that autonomous drilling and digital technology delivers for wellbore quality and placement. Before turning the call over to Mark, I wanted to thank all of our teams that are fully engaged with our customers and working hard to deliver on several strategic objectives that I have described. We are encouraged by the successes, but we are also cognizant that a substantial amount of uncertainty remains in the market surrounding the impact of the pandemic. It may take several quarters to understand what the new normal activity environment will look like. That said, I continue to be impressed with our team’s ability to manage through this difficult time and particularly the diligence they have demonstrated in keeping our employees and customers health and safety top of mind. And now, I will turn the call over to Mark.
Mark Smith: Thanks, John. Today, I will review our fiscal fourth quarter and full year 2020 operating results, provide guidance for the first quarter and full fiscal year 2021 as appropriate and comment on our financial position. Let me start with highlights for the recently completed fourth quarter and fiscal year ended September 30, 2020. The company generated quarterly revenues of $208 million versus $317 million in the previous quarter. The quarterly decrease in revenue is due to further declines in our rig count caused by the energy demand destruction associated with the COVID-19 pandemic as well as lower early termination revenues compared to the prior quarter. Correspondingly, total direct operating costs incurred were $164 million for the fourth quarter versus $207 million for the previous quarter. General and administrative expenses totaled $33 million for the fourth quarter, lower than our previous guidance. During the fourth quarter, we closed on the sale of a portion of our real estate investment portfolio comprised of six industrial developments in Tulsa, Oklahoma for $40.7 million, which had an aggregate net book value of $13.5 million. The resulting gain of $27.2 million is reported as the sale of assets on our consolidated operations. As mentioned in the press release, the sale of these properties was contemplated well ahead of the pandemic. However, the pandemic did delay the sale process. Our Q4 effective tax rate was approximately 28% as we recognized an Oklahoma tax benefit related to the sale of our industrial properties in the state net operating losses. To summarize this quarter’s results, H&P incurred a loss of $0.55 per diluted share versus a loss to $0.43 in the previous quarter. The fourth quarter earnings per share was positively impacted by a net $0.19 gain per share on select items as highlighted in our press release and this primarily pertains to the industrial portfolio real estate sale. Absent these select items adjusted diluted loss per share of $0.74 in the fourth fiscal quarter versus an adjusted $0.34 loss during the third fiscal quarter. For fiscal 2020 as a whole, we incurred a loss of $4.60 per diluted share. This was driven largely by the $563 million non-cash impairment announced in our second quarter as well as other select items, including restructuring charges and mark-to-market losses on our legacy securities portfolio. Collectively, these select items constituted a loss of $3.74 per diluted share. And absent these items, fiscal 2020 adjusted losses were $0.86 per diluted share. Capital expenditures for the full fiscal 2020 totaled $141 million, below our previous guidance due to the combination of ongoing capital efficiency efforts as well as the timing of a small amount of supply chain spending that crossed into fiscal 2021. This annual total is a reduction of $145 million from our initial fiscal 2020 budget and a reduction of over $315 million from fiscal 2019 CapEx. H&P generated $539 million in operating cash flow during fiscal 2020, representing a decrease of approximately $317 million. I will note that our cash and short-term investments balance increased by $176 million sequentially year-over-year, which I will discuss more in detail later in my remarks. Turning now to our three segments, beginning with the North America Solutions segment, we averaged 65 contracted rigs during the fourth quarter, approximately 15 of which were idle but contracted on some form of cold or warm stack rate. I will refer to idle but contracted rigs with the acronym IBC hereafter. This contracted average was down from an average of 89 rigs in Q3. During the fourth quarter, we bottomed to 62 rigs contracted with about 16 IBC rigs resulting in 46 active rigs at the low activity point. We exited the fourth quarter with 69 contracted rigs, of which 11 were IBC. The exit count was slightly above our guidance expectations as demand for rigs found footing from the bottom late in the quarter. Revenues were sequentially lower by $105 million due to the aforementioned activity decline as well as the IBC count. Included in this quarter’s revenues were $12 million of early termination revenue. North America Solutions operating expenses decreased $43 million sequentially in the fourth quarter, primarily due to reduced activity and to the proactive operating initiatives at the field level that I discussed during the third quarter call. That said, the sustained decline in rig activity during the quarter did cause per day expenses to increase on a per revenue day basis. Expenses absorbed in the field include overhead for our field management and maintenance organizations, ongoing stacking costs, consumption of on-hand average cost inventory as we exhaust penny stock and limited reactivation costs for rigs returning to work. Further, we had higher than expected self-insurance expenses, including numerous former employees on continued health and welfare benefits that will mostly expire toward the end of the first quarter fiscal 2021. One comment to put these self-insurance expenses in context. Our prior period self-insurance claims were generated with higher average rig activity, but some of these incurred but not reported claims are just now being developed when current operations are much smaller. While we see both positive and negative volatility in our claims expenses as we true up the estimated liability each quarter, the percentage impact is more pronounced when our operations are smaller as they are today. Now, looking ahead to the first quarter of fiscal 2021 for North America Solutions, as I mentioned earlier, we exited Q4 fiscal 2020 with more rigs contracted and running than expected. The activity level has continued to grow as operators add rigs with oil hovering around $40 per barrel. As of today’s call, we have 82 rigs contracted with only two IBC rigs remaining. The market remains uncertain with macro COVID demand pressures, political uncertainties and forward crude supply balances. In all but two situations, operators with idle but contracted rigs have put them back to work and we are winning select opportunities for incremental rigs. We expect to end the first fiscal quarter of 2021 with between 88 and 93 contracted rigs and we also expect the remaining two IBC rigs to return to work in late December or early January. While the decrease in IBC rigs will not increase our contracted rig count, it will be accretive to activity and margins. Almost all of these IBC rigs are on term contracts at rates entered into during the previous super-spec upgrade cycle. As John discussed, our performance contracts are gaining customer acceptance. And of the approximately 21 rigs we have added or expecting to add to the active H&P rig count, after September 30 through December 31 just over 30% are working under performance contracts. As we mentioned in the May and July calls, our focus on solution-based performance contracts has driven us to evolve the nomenclature we used to present our business with investors. We began this transition as we shifted our segment guidance to focus on the segment margins driven by rig and technology solutions rather than individual rig rates. We will complete this transition as we move forward into fiscal year 2021 and start publishing per day information in the segment tables in our future press releases. In the North America Solutions segment, we expect gross margins to range between $40 million to $50 million with approximately $1 million of that coming from early termination revenue. This margin guidance is greater than the prior quarter in total. And further, it is not impacted in any significant way by early termination revenues. However, Q1 margins will be temporarily adversely impacted by reactivation costs as we rapidly add rigs from the recent bottom and re-commissioning costs for a couple of walking rig conversions. Our current revenue backlog from our North America Solutions fleet is roughly $554 million for rigs under term contract, but importantly is not inclusive of any potential performance bonuses. This amount does not include the aforementioned $1 million of early terminations expected in Q1. Regarding our International Solutions segment, International Solutions business activity declined from 11 active rigs during the third fiscal quarter to five active rigs at fiscal year-end. This decrease is the result of rig releases in Argentina and Abu Dhabi, due in large part to the ongoing COVID-19 pandemic. As we look toward the first fiscal quarter of 2021 for international, our activity in Bahrain is holding steady with the three rigs working, while our two rigs in Abu Dhabi and our entire Argentina and Colombia fleets are now idle. In Argentina, we continue to work within an arduous regulatory environment, which has prevented us from reducing labor costs to levels that are more in proportion with reactivity potential. This will lead us to incur a legacy cost structure into at least the first quarter and will cause international margins to be negative. In the first quarter, we expect to have a loss of between $5 million to $7 million, apart from any foreign exchange impacts. We still have a pending rig deployment in Colombia, but it has been delayed as our customer is still waiting on all the required regulatory approvals to begin work. On the marketing front, our international business development team is seeing some bidding tendering activity in Argentina, Colombia, the Middle East and certain other markets. At this juncture, these prospects are early in the process and are not included in our forward outlook. Finally, turning to our Offshore Gulf of Mexico segment, we have 4 of our 8 offshore platform rigs contracted. Offshore generated a gross margin of $4.6 million during the quarter below our estimates in part due to unfavorable adjustments to self-insurance reserves related to a prior period claim. The previously mentioned gross margin also includes approximately $1 million of contribution from management contract rigs. As we look toward the first quarter of fiscal 2021 for the Offshore segment we expect that offshore rigs will generate between $5 million to $7 million of operating gross margin with offshore management contracts contributing an additional $1 million to $2 million. Now, let me look forward to the first fiscal quarter and full fiscal year 2021 for certain consolidated and corporate items. As we discussed in our May and July calls, we implemented numerous rightsizing efforts by reducing capital expenditures; reducing North America Solutions overhead; rightsizing selling, general and administrative overhead; and taking similar actions in the International segment where possible. As mentioned, we are continuing to assess our international offices to appropriately calibrate for activity. In all areas, we will continue to identify cost reduction opportunities and drive efficiency in our daily work activities. Capital expenditures for the full fiscal 2021 year are expected to range between $85 million to $105 million, which is a reduction of approximately 33% to fiscal 2020 CapEx. This capital outlay is comprised of three approximately equal buckets. First, maintenance CapEx to support our active rig fleet. Given current activity levels, we have sufficient capacity to minimize new maintenance CapEx expenditures for the foreseeable future. As you may recall, in fiscal 2019, we had bulk purchases in CapEx to scale up rotating componentry who are then 200 plus working Super-Spec FlexRig count. In addition, we continue to harvest components from previously impaired and decommissioned rigs to conserve capital. As such, we expect fiscal 2020 year maintenance CapEx will range between $250,000 to $400,000 per active rig in the North America Solutions segment, well below our prior year guidance of $750,000 to $1 million. Second, skidding to walking capability conversions, for the customer with a want or need for walking rigs, we will invest to convert certain rigs from skidding to walking pad capability in exchange for a term contract as opposed to competitors walking rig capacity is fully utilized. We have select customers who prefer certain rig design elements and are willing to enter into a contract with at least a year of term to enable that investment. We estimate walking conversions to approximately $6 million to $7 million per rig. Third, corporate capital investments, the majority of this bucket is comprised of modernization for data center, data and analytics platforms and enterprise IT systems. Our on-site data center has elements at the life cycle renewal stage and we are seizing the opportunity to move to both co-located data centers and cloud computing configurations that will be less capital intensive prospectively. The data and analytics modernization focuses on the cloud forward approach for increased capability and scalability. In the enterprise IT systems arena, we were implementing a new human capital management system to better accommodate how we manage our diversified and dispersed employee base, including all phases of the employment cycle and employee experience. Finally, a smaller amount of corporate capital is being allocated to office build outs as we reconfigure for new flex work arrangements with enhanced office capabilities that can facilitate smaller forward office footprints. Depreciation for fiscal 2021 is expected to be approximately $430 million. This is approximately $50 million less in fiscal 2020, primarily due to the second quarter impairments of non-Super-Spec rigs and associated capital spares. Our general and administrative expenses for the full fiscal 2021 year are expected to be approximately $160 million. The decrease sequentially is driven by our rightsizing efforts as discussed in the July conference call. We believe our restructuring will enable us to achieve activity growth going forward without significant accretion of SG&A. We are continuing our investment in research and development through the cycle as we push toward autonomous drilling. Such innovation efforts will yield the next solution offering from our technology roadmap. We expect R&D expenditures to be approximately $30 million in fiscal 2021. The statutory U.S. federal income tax rate for our fiscal 2021 year end is 21%. In addition to the U.S. statutory rate, we’re expecting incremental state and foreign income taxes to impact our tax provision, resulting in an expected effective income tax rate range of 19% to 24%. Based upon an estimated fiscal 2021operating results and CapEx, we are projecting a decrease to our deferred tax liability with no resulting material cash tax. Now, looking at our financial position, Helmerich & Payne had cash and short-term investments of approximately $577 million at September 30, 2020 versus $492 million at June 30, 2020. Including our revolving credit facility availability, our liquidity was in excess of $1.3 billion. Our debt to capital at quarter end was about 13% with a positive net cash position as our cash on hand exceeds our outstanding bond. Our debt metrics continue to be best-in-class measurement among our peer group. As a reminder, we have no debt maturing until 2025 and our credit rating remains an investment grade. Now, a couple of notes on working capital, we earned cash flow from operations in the fourth quarter of approximately $93 million versus $214 million in fiscal Q3. Our trade accounts receivable at fiscal year end was approximately $150 million with the preponderance being less than 60 days outstanding. Our inventory balance is reduced $9 million sequentially from June 30 to $104 million at September 30 as we have leveraged consumables across the entirety of U.S. basins and have reduced our min/max carrying targets to reflect the new activity levels. As mentioned in the previous call, we commenced a project to optimize our accounts payable terms and negotiate additional or early payment discounts from suppliers. These efforts continued to bear fruit during the fourth quarter. We expect further benefits, but the impact will be relatively modest in comparison to what we have realized to-date. The macro environment in fiscal 2020 drove capital allocation decisions, cost management measures and the rightsizing of the company to new activity levels. These collective efforts undertaken to-date are aimed at generating free cash flow of that, when combined with the modest uses of cash on hand, will cover our capital expenditure plan, debt service cost and dividends in fiscal 2021. Based on our budget for 2021 fiscal year, we expect to end fiscal 2021 with cash and short-term investments of approximately $450 million to $500 million. The maintenance of our balance sheet strength and liquidity are foundational elements in our 100-year tradition of capital stewardship and they continue to be a significant differentiator in this volatile and cyclical industry. That concludes our prepared remarks for the fourth fiscal quarter. I want to once again say thank you to all of you on the phone call for sticking with us through our technical difficulties. We look forward to answering your questions. Now, let me turn the call over to Christy for those questions.
Operator: [Operator Instructions] We will take our first question from Ian Macpherson with Simmons. Ian, go ahead.
Ian Macpherson: Hi, thanks. Good morning, guys. I will ask both of mine upfront. John, I wanted to ask if you could elaborate at all on sizing that geothermal opportunity in terms of rigs over the next couple of years? And then also for either of you, if you could just sanity check my math for me. It sounds like your gross profit per U.S. land rig is going to be up quarter-on-quarter, if you take out the termination revs that mostly go away. So given that and also the phasing of IBC distortions, it sounds like we had at least a temporary bottoming and positive inflection of cash margins. And I think that’s correct. Do you see that as a durable bottom with some positive momentum going beyond this as you get into more spot day rates over the course of the coming fiscal? So, just those two questions. Thanks.
John Lindsay: Ian, yes, thanks for the questions. Good morning and thanks for sticking around for 48 extra minutes. As to your second question first, yes, we do see the coming off of the bottom and the inflection point in all the drivers you just mentioned with cash flow and margin accretive going forward. Don’t know if you had any other details or you wanted to tease apart?
Ian Macpherson: Really, I mean, it sounds like it’s about $5,500 implied gross margin per rig day in Q1, you have some cost relief coming after that. Do you think that’s an absolute bottom this cycle for your cash margins is essentially the question?
John Lindsay: Well, given the macro uncertainties I took through, I hate to call anything an absolute, but certainly...
Ian Macpherson: Within the context of the free cash flow budget that you laid out, I think maybe it is, right?
John Lindsay: I think that’s correct, Ian. Absolutely.
Mark Smith: Hey, Ian, again on the geothermal, it is really early days. We have got several investments out there. I think what’s important is that this is a new approach and it’s much different than the geothermal industry that we’ve all dealt with for decades really in some respect. So, I think, the idea of closed loop type systems utilizing horizontal drilling, being able to drill in areas that don’t typically have geothermal systems, I think will make a big difference. And so it’s hard to size it at this point, but there will be more to come on that.
Ian Macpherson: Alright. Stay tuned. Thanks, guys.
John Lindsay: Thank you.
Operator: We will take our next question from Kurt Hallead with RBC.
Kurt Hallead: Hi. How is everybody doing?
John Lindsay: Hi, Kurt. Hey, we are doing great. How about you?
Kurt Hallead: Doing well, doing well. Thank you. Thank you. So, I guess I wanted to follow-up first, initially just Mark you gave some very explicit guidance where you thought the cash was going to be at year-end 2021. So I appreciate that color commentary. So, it looks like you expect to be at the mid-point of that may be roughly free cash flow breakeven. So it seems like you’re going to get some positive release from working capital throughout the course of the year. At least that’s what my initial math here, which shows that kind of jive with the way you are looking at things?
Mark Smith: I have, well, a little bit different twist on that, Kurt, because I think we’ve gotten through a lot of the working capital benefits. In fact, I would expect working capital to flip as activity increases. But in terms of free cash flow, I showed the potential year end range you just alluded to. There are a lot of moving parts here between activity, pricing and working capital. But if you think about the $577 million in cash equivalents and short-term investments on hand, you back out the $108 million dividend, back out another – the midpoint of our CapEx range is $95 million, add back asset sales, which are primarily tubulars of $20 million. And then, the difference that you could plug there is more or less the cash flow that we will be having from operations.
Kurt Hallead: Great. Appreciate you walking through that detail. Now, John, obviously you have – Helmerich & Payne has developed a very strong reputation over time with delivering a good value proposition for the client base. It looks like we are clearly – the market is shifting and underway toward shifting and you look like you are going to be at the forefront of this value proposition, whether it’s on the automated drilling software or now you’re kind of teasing out some context around the geothermal market. So I was wondering if you can give us a little bit more color around what kind of market penetration you have seen already for the AutoSlide? What you expect to potentially get over the course of the next 12 months? And then, since you already teased the geothermal dynamic and you teased that it’s going to be quite a bit different than what historically been the case, what do you think the addressable market on the geothermal opportunity could be?
John Lindsay: Yes. Thanks, Kurt. I will start with AutoSlide. The autonomous drilling platform is really powerful. You touched on it and you picked up on this opportunity early. I might stress with, we started our journey toward where we are today on automation in 2015 and ‘16 in terms of just trying to figure out a strategy. And then, of course, we made a couple of acquisitions, MOTIVE and MagVAR in 2017 and we’ve made two additional acquisitions since then. And so, we are really pleased to see that it’s starting to take shape in the current environment. The AutoSlide numbers continue to grow. We are pleased with that. I think the thing to keep in mind is that AutoSlide – the decision engine for AutoSlide is bit guidance system, which was the MOTIVE product and that’s a patented process. And it’s – one of the things that’s really interesting about that and important for customers is that it makes economically driven decisions. So each customer can customize the algorithm to their needs, which is really important. And so, it’s making – the algorithm is making decisions on cost benefit basis and its taking three costs into mind with time tortuosity and proximity to the pay them. So as you start thinking about that, that’s differentiated compared to what a lot of products, if you will or talked about out in the marketplace. And I think the true test of that is seeing how the adoption is going. And so, obviously you have customers start with one rig. And we have had many customers that go from one to three, one to five. Recently we have had a couple that have gone – at least our forward plan is to go to all six or all eight of the rigs that they have operating. So it’s still a work-in-progress and we are continuing to layer on additional capabilities with AutoSlide. We will talk more about that in the future. Again, on geothermal, it’s really early days. But what needs to happen is, you need to have these new technologies and these new ideas work out. So there is growth potential for us because these geothermal energy applications are – would be focused on utilizing our installed FlexRig asset base, which – again which would be great for H&P and it’d be great for sustainability. So, that again, we will be updating more on progress on activity opportunities in the future.
Kurt Hallead: Okay, great.
John Lindsay: Thanks, Kurt.
Operator: And we will take our next question from Scott Gruber with Citigroup. Scott, go ahead.
Scott Gruber: Yes, good morning.
John Lindsay: Good morning, Scott.
Scott Gruber: Just a quick follow-up on the cash flow discussion from earlier, just wanted to unpack it a little bit more, Mark, can you provide any additional color on the working capital range that you are contemplating in your forecast for ‘21?
John Lindsay: Not much more than the large amount of detail I have already unpacked, Scott.
Scott Gruber: Okay. And maybe just more of a kind of high level question you guys have introduced a number of compelling technologies, especially AutoSlide. Internally, how are you measuring the return you are getting on your R&D investment as you start to layer on more and more investment on the rigs? And based upon the publicly available data that you released, especially given the change in the reporting structure, what should we be watching to think about the return you are getting on your R&D investment?
Mark Smith: Well, appreciate that and I will let John chime in here as well. But I think one of the things to me that is most interesting about that return is what we have just are observing as we speak today. So, I mentioned that are basically the midpoint of our exit guidance for fiscal Q1 is about 90 rigs. So if we exited at 69, they are adding back 21 and we see that over 30% of those being added back are on performance contracts. So, we are seeing an accretion in North America Solutions market share and that’s really driven by the technology that we can deploy through these performance contracts. So, that’s – it’s really booing our competitive position with customers and our differentiation in the marketplace to accrete market share and then as importantly do it in a different manner through the performance contract, which allows for potential upside performance bonuses based on the KPIs, which are – which if they are received and actually the targets are met and we are paid, that would be accretive to the backlog that’s booked for those contracts.
John Lindsay: Yes, I would add on to that, Scott and everybody knows this, but new technologies and adoption rates are challenging in the best of markets. And then, when you consider the type of market that we’ve been – that we’ve seen over the last several – all through 2020, but that’s the challenge. But what I’ll leave you with is, I can assure you that early days of the FlexRig were not, it wasn’t easy to see the return on invested capital that we were going to get that we ultimately did get with the FlexRig, which was a technology offering and it was a differentiated offering. The good news with the – with AutoSlide and our other digital solutions and software is that it is low capital intensive. And so, we fully intend to get returns and we’ll be more transparent with that over time.
Mark Smith: As John has said before, downturns are opportunities and we really feel like we’ve hit a tipping point in the number of – in an upturn and performance contracts, in an upturn and the actual number of deployed AutoSlides that we have working and all of that, as I mentioned with the potential to hit those performance target that is potentially margin accretive.
Scott Gruber: Yes, I understand. The uptake seems to be really reflecting the appetite of the technology. I think the investor base just wants a little more color on the margin impact after we get through the contract role. Can you guys – if there is any color that you guys can provide on how accrete to the margins for the segment and impact the margin profile, I think would just be helpful?
John Lindsay: Yes and it will be evident and we will see that over time. Appreciate that.
Scott Gruber: Got it. Appreciate the color. Thank you.
John Lindsay: Thank you.
Operator: And we will take our next question from Taylor Zurcher with Tudor, Pickering & Holt. Taylor, go ahead.
Taylor Zurcher: Hey, good morning. In the U.S., it seems like most E&Ps are targeting some sort of production maintenance budget next year. And that’s driving a lot of the recent ramp in the rig count. I wonder, as you look into the calendar year 2021, how far do you think we are in that process, the process being operators ramping it up into that maintenance program. Maybe is there a different way, looking beyond the 12/31 of 2020? Do you have any visibility to – today to further increases in the rig count above and beyond that 90 exit rate you’ve pointed to?
John Lindsay: Sure. We can give you some additional color on that. I think one of the things to think about with those recent increases and it really kind of started at the beginning of our fiscal year after hitting the bottom in August. We were talking about this for several months that the budgets, the ultimate budgets that are, that customers and E&Ps had cut down to was after successive reductions to their budget. And I think the budget expectation was probably set in a $25 to $30 oil price environment, not with the $40 oil price environment that we’ve been experiencing over the last several months. So, I think with that obviously, the really low activity levels we weren’t surprised to see the rig count beginning to grow. So we’re pleased with that customers are remaining disciplined. We felt like all along that we would be at kind of on the leading edge of that growth once customers started getting back into the game. One of the things, I’m really excited about in this, is that not only have we but most of the idle, but contracted rigs back to work, the other half of the rigs we put to work have been rigs that we have competed on – in the marketplace and we’ve done very well. We’ve expanded our customer base, and I do think that, like, we said we’re going to close the fiscal year, we hope at around the 90 range. And I think there is some potential we see additional activity in January and February possible. But again, as you’ve heard me say over time, it’s kind of hard to see out further than 90 days. But we do think we’re going to have some additional increases as we get into 2021, probably mostly in the first quarter.
Mark Smith: Usually the fiscal year, but I think it includes the calendar year at 90.
John Lindsay: I’m sorry. Yes, close the calendar year. Thanks Mark.
Taylor Zurcher: Thanks for that. And my second question is on international, some of the cost and efficiency problems in Argentina have been well documented and obviously that’s a market, that’s taken on the chin following the pandemic. Looking out over the full fiscal year of 2021 we’ve already seen some improvement off the bottom in Argentina in industry-wide. And I wonder, if you could frame for us what sort of demand levels as COVID starts to become more of a rearview mirror type issue? What sort of demand levels that you’d expect out of Argentina maybe exiting 2021 or what we could grow into over the course of 2021?
Mark Smith: Well in Argentina, we have seen some interest pickup, but perhaps not as much as been discussed in some of the industry chatter we hear. Because most of the rigs going back to work that we have seen are either work-over rigs or rigs that are returning to work after contract suspension due to COVID-19. The aim there really might be to get quick access to a production increase compared to any new developments. We are seeing some tendering activity take place and these opportunities are typically a year or less in duration and have some onerous terms in compensation relative to the length of term. So, while there are some opportunities in Argentina COVID-19 is still a factor as is of the lower commodity price environment, as well as currency issues and other issues related to that jurisdiction. So that’s really kind of our current view on it.
Taylor Zurcher: Alright. Well, thanks for that. I will turn it back.
Mark Smith: Thank you.
Operator: And we will take our next question from Chase Mulvehill with Bank of America.
Chase Mulvehill: Hey, I guess the first question I wanted to ask is about the guidance on the North America Solutions segment. I guess, margins maybe came in a little bit softer. I mean obviously you gave a good rig count guide. But if you think about the margin profile, maybe that’s a little bit softer than some expected. So maybe could you just help us understand whether the softer than expect to kind of margin guidance was more of a function of kind of soft day rates, or is it kind of elevated OpEx per day as you are looking to kind of reactivate rigs? I mean, then – and when you answer that if maybe you could speak to where you think that margins, I don’t know if you’re going to talk to margin percentages or cash margin per day, but where you think that you can get margins to overtime as the horizontal rig count kind of comes back toward 500 rigs?
John Lindsay: Sure. A couple of thoughts there. Thanks for the question. There is a lot of – as I mentioned in the prepared remarks, a lot of transitory costs in Q1 in reactivating 21 rigs, as you know just over 30% of was the year ending rig count at the end of the fiscal year. So that’s a big a rapid uptick and there’s a lot of cost in there related to rig reactivation and also related to, as I mentioned commissioning a couple of walking rig conversions. As we have talked about before, we’re trying to get away from per day discussions, but I will tell you, there will be some margin uplift as those rigs continue to work point forward.
Chase Mulvehill: Okay, alright. And if I can just follow-up on kind of the rig count, this maybe the last time I can ask you on the rig counts, so I’m going to take advantage of it. You talked about exiting at about 90 active rigs. If we think about historical share of the horizontal rig count, your historical share that would put kind of the industry rig count in about 325 horizontal rigs at the end of the year. So that’s adding another 60 or so rigs through the end of the year for the industry. Does that sound reasonable for an industry rig count toward the end of the year, and you’re kind of near 26%, 27%, 28% market share of the horizontal rigs? And then also when we think about adding rigs through the end of the year, do you think it’s going to be more weighted toward public E&Ps or private E&Ps?
John Lindsay: Answering your second part, first, I think it’s going to be a mix. So far we have seen a nice mix between both small, private as well as our traditional customer base going back to work with the idle but contracted rigs. So it’s been a nice mix on that. And I think when you think about the rig count, I think your numbers are in line. I mean at the end of the day, it kind of depends on what H&P’s market share is because that’s the knowledge that we have. And so in a 90 rig count for H&P and we have 25%, obviously where there is 360 rigs running. So we think we are going to continue to capture additional market share. You’ve seen several reports that show 400 to 420 rigs. I think we can get there in the second or the first calendar quarter to second calendar quarter of 2021 and I think as you look out a year or two, I think it’s reasonable that you could see a 450 to 550 rigs working again. And why that’s important is because again back to the 630 or so super-spec rigs, and 450 to 500 rigs running here in that 70% to 80% utilization where historically in our industry, you have seen pricing power. And I think the other thing to keep in mind of that 630 rigs, not all of those rigs are created equal, and are not going to be as highly sought after. So I think that gives us some encouragement that we’re going to – one have rigs going back to work and two have some pricing. But back to the commercial models, and it’s so easy to fall back into the dayrate conversation, and what we really want to continue to focus on is new commercial models. And I want to first give a shout out to our folks I give them a lot of credit for undertaking the challenge. It’s tough to think about retiring the dayrate we’ve had dayrates around for decades. And to add new commercial models that are really more attractive and deliver higher levels of value for our customers. So we really think that we’re creating an economic surplus for our shareholders and our customers together, so we just think that there is a great opportunity for these new commercial models. Obviously the easiest thing to do is to kind of fall back into the dayrate focus and margin per day focus, but you’ll be hearing more from us on that as the picture comes together.
Chase Mulvehill: Perfect. I appreciate all the color. I’ll turn it back over.
John Lindsay: Thank you.
Operator: We will take our next question from Waqar Syed with ATB Capital Markets.
Waqar Syed: Thank you for taking my question. John or Mark your guidance of $40 million to $50 million from margins a gross profit margins in the U.S. solutions, what are you assuming for – what kind of benefits you’re going to get from performance based contracts in that, is that range purely driven by activity levels, whether you ended 88 to 93 rigs or is there something for how the performance based contracts going to shake out?
John Lindsay: Well, Waqar, I appreciate the question. From a GAAP perspective, if you think of backlog and we try to do all of our work, as you know very conservatively here at H&P. So if you think about how the GAAP backlog calculation works is at the base dayrate. So, by way of example, if you get to the end of a well and you have metrics tied to that well and you get an uplift for hitting performance targets you booked at the end of as well when it’s been earned. So it’s not in backlog. So I said differently. Our budgeting really focuses along a GAAP line of sight, if you will. So we do have some upside potential with margins with the growing number of performance contracts.
Waqar Syed: No, typically, these wells are taking let’s assume in a ballpark number 20 days. So there will be, presumably, there will be still a number of wells that would have been completed in the December quarter where a few generate performance based contracts that you could recognize that. Is that fair?
John Lindsay: That’s fair. Yes.
Waqar Syed: Okay.
John Lindsay: The small, but growing portion of the fleet and the potential upside there I think we’ll see more of that actually through calendar of 2021, if it is a first fiscal quarter.
Waqar Syed: And so then to that point in terms of your free cash flow or cash flow guidance that you provided, what are you assuming for performance fee? Are you assuming some performance based contract contribution in 2021 in that guidance or that is going to be – that may come when that happens, then you will include that?
John Lindsay: Well, Waqar it’s – in our business in good times, it’s hard to see past a quarter ahead, as you know, and where we are today looking at that exit count for the first quarter of approximately 90 rigs with all of the uncertainties I take through earlier the macro, you have the ongoing COVID demand issues with energy, supply and balances, the geopolitical concerns, etcetera, etcetera, we really for our budgeting purposes have taken that 90 rigs and then the conservative manner in which we provide stewardship of our balance sheet, we have really flat line that for the rest of the fiscal year. We’ll be updating that each quarter with our forecast as we move through time, but that’s our conservative outlook today.
Waqar Syed: Yes. And then, John, in terms of international activity you mentioned Abu Dhabi rigs are down right now. Any thoughts now those are contracted so would they be coming back on sometimes, let’s say, next year or calendar year?
John Lindsay: No, I think those rigs in Abu Dhabi, their contracts either had early termination, or we, those contracts are closed, those rigs are idle. We don’t have any additional contract term left.
Waqar Syed: So for the international business is kind of this – the guidance that you provided for the next quarter that is as bad as it is going to get, and probably as you manage your cost maybe the revenues don’t change, but the cost could come in through the course of calendar year or next year?
John Lindsay: I think, yes, as you move into – as you move in through calendar ‘21, a couple of things, yes, we are going to, as we mentioned in the remarks, work on cost, especially if those costs related to the legacy sized structure in Argentina. But also, as I mentioned, we are seeing quite a bit of potential revenue possibilities. Again it’s too early days to put any of those into our forward outlook, but we are participating in a number of bidding and tendering activities in the places we have rigs today and also in new jurisdictions where we do not.
Waqar Syed: Okay, now things move slowly internationally. Do you think that the best case scenario if you add up – pickup a couple of rigs, is that still from a calendar year perspective second quarter or third quarter kind of possibility?
John Lindsay: It’s Waqar, as you know, it is so hard. I mean with the potential second wave with COVID, I mean International was started late slowed down much later than the U.S. market. So it’s just really hard to call at this stage, we don’t have any indication that things are going to get better in the next couple of quarters. But obviously, we can be surprise to the upside but we sure don’t see anything right now.
Waqar Syed: Sure. Thank you. That’s all I have. Thank you for your answers.
John Lindsay: Thanks, Waqar.
Operator: [Operator Instruction] We will take our next call from Chris Voie with Wells Fargo.
Chris Voie: Thanks. Good morning.
John Lindsay: Good morning, Chris.
Chris Voie: Hi. So the number of term contracted rigs has come up a little bit. Has there been much competitive bidding yet, or is it still mostly direct negotiations? And if so, can you comment on whether those rates are dilutive to the average implied in the first quarter, or if maybe they’re stable quarter-over-quarter of step down? And I guess the context here is that, it sounds like you have confidence in leading edge margins granted, there is a performance-based overlay we have to have an estimate for that. It sounds like you have confidence in that maybe bottoming. So, just curious if there is much competitive bidding that’s backing that up?
John Lindsay: Yes. I will give a little color on the bidding and the term contract. I have Mark give a little more color on that’s dilutive or not. But several of the rigs that we have re-contracted were competitive bids and we did enter into some term contract coverage is generally 6-month – 6 to 12 months. So that’s a positive. Obviously, those overall margins would be lower than historically when we were getting term contracts for during the super-spec upgrade process. But overall, it has been competitively bid and we are getting some term contract. Mark, anything else to add on?
Mark Smith: No, I mean, I would just remind you some of those IBC rigs we have that are coming back into the active turning to the right mode are accretive to our current margins because they’re on those legacy term contracts that we’re entered into during the upgrade cycle.
John Lindsay: Right. And some of those term contracts that I mentioned that we can keep it for also are on a performance based contract. So while there maybe a base margin that we are looking at, there is a higher margin that we can attain as we work with our partners and our partnership with our customers and have – kind of have that win-win situation.
Chris Voie: Okay, thanks. That’s helpful. And maybe shifting to performance based contracts. Is there any shift now that you have got rigs going up this year? Any shift in what’s popular for customers or if the way you guys like to structure these contracts in terms of which KPIs are involved? Just curious if there is been any shift or and more color around that?
John Lindsay: It’s really all over the board. I think that’s what’s important about these types of contracts is, we are having that discussion with the customer and what’s most important to the customer, and what are the things that they are wanting to achieve and how can we work with them and help them achieve that. And so again, we are seeing performance based, KPI based also shared savings type contracts, even some footage type contract. So it’s really just working closely with our customers, and trying to be as customer centric as we can in terms of what is it that they are wanting to accomplish.
Chris Voie: Great. Thank you.
John Lindsay: Thank you.
Operator: And that does conclude our question-and-answer session for today. I will now turn our program back over to John Lindsay for any additional or closing remarks.
John Lindsay: Thank you, Christy and again, thanks to everyone for your patience today. I know your time is valuable and we appreciate you hanging in there with us. Just kind of closing out with looking back at this unprecedented and demanding 2020 fiscal year, we remain steadfast in our commitment to reshape our business and the industry during this challenging time. Our teams are doing great work to accelerate long-term strategic priorities, including driving efficiency across the company and evolving our digital technology and data platforms to deliver value-added solutions and services to our customers and partners. So, again, thank you again for your interest and everybody, have a great day. Thank you.